Henri Poupart-Lafarge: Good morning, everybody. Welcome to our telephone or web con call on our half year results for our financial year ending '21/'22. I will go through the classical agenda. We'll start with the highlights. We'll give you a short business update. And then Laurent with me today will go through the financial results, and I will come back for the conclusion. And of course, we'll have a Q&A session. So we'll try to be relatively quick in the presentation to allow time for the questions. So in a nutshell, these results this first half is entirely in line with what's disclosed to you beginning of July during our Capital Market Day. And I just recall on this slide the few highlights of this Capital Market Day. The first one is that we are benefiting from a good market, as you know, triggered by stimulus packages in favor of sustainable mobility, notably. And we are benefiting from this market because we believe that we are extremely well positioned with our new portfolio and our new manufacturing engineering development footprint. So this is being confirmed during this first half. And as you will see, the prospects are also very positive. So we have a very large pipeline. We are recovering in terms of sales. Of course, we are recovering as compared to last year because of the COVID situation of last year, but we're also ramping up now the delivery of our projects, in particular, the nonperforming projects, the difficult projects. As you know, we have relaunched a number of production of a number of projects, and this is being seen in the sales. In terms of integration, and I will come back on that, things are moving extremely fast internally. The whole organization is now in place. People are working in collaboration with one each other. And we are online with our synergy plan. As you know, we believe that this synergy plan is more backloaded because we need to concentrate and focus on project establishment first. But still, in terms of cost, we are containing the cost. Adjusted EBIT is in line, as I told you during the Capital Market Day. There is no particular surprise on adjusted EBIT. This is more or less in line with what was recorded last year on a pro forma basis. Finally, the free cash flow, which was, of course, a matter of attention. As I said, we had to invest quite significantly in working capital in order to relaunch the production to restabilize our project, and our free cash flow has been impacted as anticipated. The number is actually slightly better than what was anticipated, but we have a level of volatility in our free cash flow, so this is probably good news as compared to what we are expecting, but still, it's within the volatility range that we experienced classically in our business. So in terms of business, I will go relatively fast. Confirming the good market perspective, so we have just illustrated a lot of opportunities worldwide. What is important to notice, and these are the small dots on the map, is we have opportunities everywhere in the world. And it happens that we are also ourselves everywhere in the world and very well established everywhere in the world. So wherever you have opportunities, you have actually strong, very strong Alstom capabilities to serve this opportunity. So we believe that we are on all these opportunities extremely well placed. And there is one very satisfying factor during the first half is what we call our hit rate ratio internally, meaning that we have been able to transform a lot of opportunities into actual orders. And I think this is proof of our strength on the market. So coming back to the numbers themselves. €9.7 billion of order, again, in line with our expectations. On commercial activities in Europe and Americas, I said Europe is one of the most buoyant market, triggered again by all the green packages in most countries. These orders have been taken with healthy margins. So I will come back to that on the sales level. But we are back, I would say, to the virtuous circle of having a higher margin in order intake, lower margin being traded and, therefore, backlog, which is improving its margin. Overall, the backlog is now standing at €76.4 billion. If you look at the order split by geography or by activities, first, by geography, we need to be careful because this is mainly driven by large orders in one geography or another, so this cannot reflect the long-term trend. And by activity, as you can see, we have a very even split of order intake with quite a little bit more than 50% of Rolling Stock but a sound level of Signalling of €1 billion and a sound level of Systems, notably with the order in Mexico. A few examples of orders, a few good orders to illustrate this period, to say that we have some in Europe, in France; we have some in Asia like in Taipei; in Americas, like in Toronto, in Australia, in Melbourne, in Mexico with Tren Maya, which I will come back to that, which is an example of our synergies. In terms of sales, so a progressive ramp-up. Clearly, last year, we were impacted by the lockdown. We still continue and as expected to ramp up during the second half. So we expect a stronger second half than the first half. Product line by product line, no particular comment. Rolling Stock is still moving up. Service has recovered. Clearly, the number of trains online on Service is now back to a normal activity. Signalling is ramping up. And System, as you know, System has been heavily impacted by the end of some projects in Middle East, in particular, Dubai Metro and, by the way, which has been put on service and which is working extremely well to go to Dubai Expo, if you have the opportunity to go to Dubai Expo. But now we are resuming our growth, and this is mainly on the back of orders in Egypt. I'm talking here about the monorail; on Thailand as well, also monorail; and of course, in Canada, this is the REM, which is a Montreal new line. So we are back to our growth pattern in System. Project stabilization, I think this is one of the key priority of the group. As I said, we need to clearly execute, stabilize our nonperforming projects. We have traded a number of projects at 0 margin. We are going to continue to trade a number of projects at 0 margin during 2 to 3 years. As we have said during the Capital Market Day, this is again in line. There's no surprise there. Lots -- it's difficult to summarize by one action. We have commercial actions, i.e., negotiations with the customer in order to agree on -- discussions with customer in order to agree on new planning. We have manufacturing actions such as quality to ensure that all the sites reach the same level of performance in terms of operational performance, quality performance. But we have also technical actions as we have to solve a number of technical issues. So it's not like one silver bullet. It's a very, very large number of actions which are taken. But I can tell you that the group is working extremely intensively and very positively. And one by one, we are stabilizing the situation. A new feature which here is maybe the only thing which is differing from the Capital Market Day is the issue on the supply chain. So this is no news. Everybody talks about it. We have both shortages in terms of components and some inflation across the board. Today, we have not been impacted both because our lead time is longer than other industries but also because we have taken some mitigating factors -- measures, sorry, mitigating measures. But still, this is a high level of attention within the company, of course. We are working day and night to make sure that we have access to any kind of components, any kind of commodities and that we are mitigating any inflation. We are naturally hedged on the vast majority of our portfolio because we benefit from indexation clauses. But again, there are always moments where we are not fully covered, and we need to take a particular attention to make sure that we are weathering this situation. So no impact on H1. We see how it develops during H2. I don't expect an impact on Q3. So on the next 3 months, of course, if the situation was to go on for a long period, it will inevitably impact us one way or another. In terms of integration, and I think this is something which, frankly, is growing faster than I would have thought. In terms of commercial activities, we made a survey with our customers. And as you can see, more than 96% of our customers give positive feedback on this integration. I mean this is, frankly, quite unusual with such a scale of integration that we have such a positive feedback from customers on the way this integration has been handled and the way that projects have been managed during this period. So that's extremely good. As I said, record hit rate -- record-high hit rate, mainly due to, I would say, the ability -- and this is something on product convergence, the ability to propose to the customers already new solutions, which are mixing bricks coming from the ex Bombardier technological portfolio and bricks coming from the ex Alstom technological portfolio. So this is the ability of the teams to work and collaborate with one each other. Of course, today, we have not merged the platform, so we are assembling different bricks from different portfolios, and we are working on having one common platform. This will take a little bit of time, but we expect that for the coming 2 to 3 years. In terms of processes, even though I believe that the very first priority is culture and people, nevertheless, process is extremely important as well. We have converged, as we said, 40% of the processes. We aim at converging 80% of the processes by end of March or just 1 year after the integration. Most of the major processes have now been converged. And of course, all that is controlled has been done day 1. But here, we are talking more about engineering and quality and so forth type of processes. IS/IT, we have integrated the basic IS/IT. But of course, as you know, we have deployed within Alstom a very strong digital suite full -- what we can call Industry 4.0 in all our sites. It took 10 years to develop it within Alstom. We really aim at deploying it in the new perimeter in the next 2 to 3 years. Same -- important that we have the same tools. This is in line with having the same processes. And this is also our willingness to have the same quality worldwide. So we will deploy that very thoroughly in the next 2 to 3 years. Synergies, as I said, we are tracking all the synergies, keeping costs under control. But as I said, the first one is definitely the project -- the product stabilization. Last but not least, as I said, people, this is the first, first priority. But this is where I think the greater satisfaction is coming from. There is a very strong integration of the teams, very strong collaboration. I have now -- thanks to also to the end of the COVID or partially the end of the COVID and the opening of some borders, I had the opportunity to visit a number of our sites. And I can tell you that all the teams are now combined teams, and this is extremely satisfactory. Just a few examples of first wins, which are the results of the combination. Tren Maya is a very nice one because, of course, it's a train which is mostly from Alstom technology, not entirely, we use Bombardier bogie, but which will be manufactured in Sahagun, in a site which was ex Bombardier site, which will be, by the way, the first site where we will deploy the digital suite of ex Alstom. On Metro of Cairo, it's not a contract which is booked yet. I've signed it yesterday. And this is -- we have not sold any metro in Cairo, nor Bombardier, nor Alstom for the last 40 years. And I think the success of the monorail of the ex Bombardier in Cairo have paved a way for renewed, I would say, market penetration of Alstom in this city. Last but not least, it's a small equipment but a very important equipment. We have decided to implement right away the latest Alstom controller on all Bombardier platform. It happens that Alstom was more advanced in digital technology, in particular in controllers, so we have taken that decision. So now all the trains that we are selling, whether they are Bombardier platform or Alstom platforms or legacy Bombardier, legacy Alstom, they will benefit from the latest controller developed very recently by Alstom. €400 million synergies, sale financing synergy has been achieved, of course, what is bonding, procurement, good -- I would say, good momentum on procurement; processes, we discussed about it; R&D, we are converging; and industrial sites, we are now for each standard, each solution, we are benefiting from our global situation. A few words on innovation. So that's extremely important. So first, smart. As you know, we need to have smart innovation. So we made a considerable progress in cybersecurity. I think that is -- we have more than now 100 people fully dedicated to that. We're doing that internally for all our products, but also we are serving more and more our customers in cybersecurity. And our customers are, of course, extremely concerned by this situation. Signalling, we are continuing our progress. And our new signalling systems, whether we talk about ATO for mainline, and we're the first contract for that [indiscernible], or whether we are talking about our train to train, a new technology for CBTC for urban, where we have been awarded the Line 18 on Grand Paris in France. Green is definitively at the heart of our strategy. We should not forget that we need on all our trains to make some efforts, to make some improvement in terms of green technology. And we have unveiled the new, what we call Avelia Horizon, which is a new TGV in France with more seats; less energy consumption, so of course, energy per seat has been decreased dramatically; and also less maintenance cost. So this is what we do on all our platforms. But also, we are extremely well known for our green traction to replace diesel. Hydrogen, I mean these last 6 months have been definitively 6 months which have seen hydrogen technology being promoted in Europe and beyond. And our hydrogen trains has been, I would say, shown everywhere in Europe, in most countries in Europe. But we're also -- Bombardier was also very strong in battery powertrain. So now we have really the 2 technologies: the hydrogen technology and the battery technology. So that's something that will definitively be 2 solutions for the end of the diesel technology. We are fully committed to sustainability, to ESG in general. So I'm just -- I want to complete my short introduction by reminding that we have a number of projects, thanks to our foundation. We have a lot of actions in India, for example. And we had a number of socioeconomic analysis done on this matter, in particular, again, in India, where we are extremely active. You know that India is one of our main market and the main platform. And we are fully committed to the CO2 emission reduction targets of the Paris Agreement. So we have been happy to be included in the CAC40 ESG index last September. I think this is paying tribute to all our efforts in that direction, which is at the heart of our strategy. I will now leave the floor to Laurent for a few comments on the financial results.
Laurent Martinez: Thank you, Henri. Good morning, everyone. So let's start to review our profitability trajectory for our first half with all-in an adjusted EBIT standing at €335 million, i.e., 4.5% to sales. So as expected, our adjusted gross margin before PPA has been impacted by the dilutive effects of the traded €1.3 billion of sales of nonperforming backlog. Below this adjusted gross margin, R&D stands at €220 million, very much in line with our trajectory announced in the CMD and with the usual phasing between H1 and H2. Going further, our ratio of selling and administrative expense improved by 1.3% versus our Alstom legacy structures. And last our net interest in equity investees pickup, which includes, as you know, mainly our Chinese joint ventures, had a sustained performance up to €77 million. So going straight below adjusted EBIT, we recorded restructuring and rationalization costs for €47 million, which includes mainly expense related to the closure of Aptis e-bus for around €33 million, booked as well integration and acquisition costs related to Bombardier Transportation for €32 million and the usual mechanical reversal to EBIT of our Chinese JVs. Below EBIT, financial cost at €20 million; tax stable at ETR 27%; and contribution from net income to equity investees at €65 million; all in, net profit at €172 million for our first half of fiscal year '21/'22; and an impact in terms of PPA net of tax of minus €196 million. So moving to the cash. As anticipated, our free cash flow reached minus €1.46 billion in H1 '21/'22, in line with our Capital Market Day early July with some positive phasing, as Henri was stating, between H1 and H2. As announced, our free cash flow has been impacted by nonrecurring working capital consumption due to phasing, industrial ramp-up, nonperforming project stabilization. So this minus €1.7 billion working cap change has been chiefly driven by production ramp-up impacting hence our inventories, receivables, contract assets and as well normalization of payment terms with our suppliers. CapEx expense has been contained at €135 million with a favorable phasing in H1. In terms of provision, we do confirm our assessment of March '21 related to the provision for risk on BT legacy contracts. So absolutely no change whatsoever on these subjects. Looking forward, we do confirm positive free cash flow for our H2 based on deliveries acceleration and expected continuous, healthy order intake. So turning to the evolution of the main moving blocks of our balance sheet. As of September '21, our net debt increased by €1.6 billion as a function of our working capital buildup. We recorded as well some limited adjustments related to the PPA update, such as including a decrease of deferred tax assets linked to detailed allocation of all PPA adjustments; change of liabilities for held for sale in application for IFRS 5 related to Talent 3 platform; and last, some adjustment on the intangibles following some positive evolution of our backlog assessment. All in, as you see, limited would be an increase of around €130 million. So looking briefly at our evolution of our net debt standing at €2.5 billion as of September '21, key drivers being obviously the anticipated negative free cash flow. In terms of M&A, 2 comments. So we closed in H1 acquisition of Flertex developing brake subsystems and Helion Hydrogen Power developing hydrogen fuel cells. All of this acquisition definitively in our strategy of bolt-on-focused M&A. Finally, payments of dividends stood at €45 million, following option offer to shareholders to receive 2021 dividend in new shares. Finally, in terms of liquidity and financing, we retain, as you see in H1, a very sound liquidities and have implemented robust long-term financing structures with senior bonds. In addition to our €1.1 billion of cash at hand at September '21, we have 2 undrawn RCF for €3.25 billion, so leading to a very strong €4.4 billion of available liquidities as of September '21. In parallel, we have issued as well €750 million of CPs under the new group commercial paper program of €2.5 billion with maturities before March '22. Looking at balance outstanding, as you know, we have issued in July 2 senior bonds with very positive conditions. And as you see, we have now a very well-balanced, long-term financing structures with 4 bond lines between '26 and 2030. All in, we remain definitively committed to our investment grade, which has been confirmed in July by Moody's. Back to you, Henri, for the conclusion.
Henri Poupart-Lafarge: Thank you, Laurent. So in a nutshell, first, for the second half, clearly, we will continue to leverage the good commercial momentum, and for example, the order which has been signed in Egypt should be booked in the second half. We need to continue to book healthy order in order to make sure that we are ramping up progressively our profitability. And of course, commercially, we are going to finalize the vast majority of our conversations with customers. In terms of innovation, we're going to ramp up the convergence of our portfolio. That's something which is one of our priorities in terms of R&D for the next 6 months. Execution is one -- there are several challenges in execution. The ramp-up of our production is one challenge; the stabilization of projects, the second challenge; and of course, the new challenge which is coming from the supply chain tension for the -- and of course, the inflation on our supply chain. On people, we'll continue to form one team, so we continue the integration. We make sure that at the end, the objective is at the end of the year, so in March 2022, the most of the integration will be behind us in terms of people, in terms of, I would say, training and processes. Midterm, we are confirming again our Capital Market Day, so the long-term target. We think we benefit from a very nice positioning on a good market. So we should continue to grow. We should even gain market share. This is our objective for the next few years, come back to a more normalized adjusted EBIT level, which will be more in line with our standards; and come back to regular cash flow generation, which we believe to be above 80% of the net income to free cash flow ratio. So again, as a nutshell, we are -- I mean these are the first months -- only 8 months of integration, but these first 8 months of integration has been completely in line with our plan. And we believe that we are now well launched towards our midterm targets. So thank you for your attention. Now I think we will open the floor for questions and answer. I will give back the floor to the operator to this extent. Thanks a lot.
Operator: [Operator Instructions] And we'll take our first question from Guillermo Peigneux in UBS.
Guillermo Peigneux: Maybe I wanted to ask a question and a follow-up on cash flows and supply chain, I guess, more focusing on provisions. Your numbers in the first half are very similar to the ones that you published on the 31st of March. But I was wondering about the mix of the €2 billion provisions that you have excluding warranties. Is there any kind of scope change within that €2 billion figure, i.e., a little bit more to Bombardier versus a little bit less to Alstom? Or is it just remaining -- everything now remains the same as per your 31st of March announcement? And then I'll ask a follow-up on supply chain later.
Henri Poupart-Lafarge: Thank you, Guillermo. Let me leave the floor to Laurent. But in a nutshell, there have been no particular change. I mean, of course, you have some balance with pluses and minuses, but globally, it was very much in line even project by project with what was published end of March. But Laurent, do you want to say more?
Laurent Martinez: Absolutely. Guillermo, so yes, we do confirm that the risk and contract on ex BT portfolio remains stable. You remind the €1.1 billion that we have been presenting to you end of March '21. This number is fully confirmed, so there is absolutely no change whatsoever in terms of our assessment on the risks of BT portfolio for our H1.
Guillermo Peigneux: And on the longer -- on the supply chain, maybe if I can ask, how is this impacting you, I guess, in a project by project now as you take orders? Is it longer lead times? And if you could give us some particular examples on which parts are you seeing inflation that you are concerned about or which part of the supply chain you're seeing supply chain issues that you are concerned about.
Henri Poupart-Lafarge: Yes. I think it’s 2 different stories, actually. In terms of availability of components, clearly, where you have the most tension is on electronic boards. You have some tension as well on classical commodities such as steel, particularly stainless steel or aluminum. But where it’s most challenging is electronic board. This is a small portion of our cost, and therefore, on this particular item, it’s more the availability which is the problem rather than the inflation itself because these chips are really a very, very small portion of our costs. In terms of inflation, it’s more complex because it cascades for our entire supply chain. So of course, in terms of pure commodity and in terms of steel, aluminum and so on, this represents a relatively low portion of our cost as well. I mean if you take the pure steel, aluminum and so on, it’s probably 5%, 5% to 10% max, depending on the project, of our costs. However, we have all our suppliers which are claiming some increase in prices and so forth. So it’s a general inflation including, by the way, salaries and so forth. So we need to tackle this new situation. In the past, we have already lived through some inflation period, and we were not particularly hit by that because we have, as I said, the vast majority of our projects which are with indexation clauses. So we are well protected on that. But what is more complex to handle is, of course, the volatility of this inflation and something which was not expected. So you have always periods, and I was mentioning, for example, when you are putting a tender, between the tender and the notice to proceed, usually, you don’t have this escalation clauses, so we need to assess what will be the inflation during this period. So erratic movements of inflation are not all easy to handle, and that’s why we are paying a lot of attention to it. But if it’s a stable inflation, I would say that’s something that we can really handle without any particular issue. We did it in the past without any problem. But it’s more, again, the volatility of inflation which is more complex to handle. So it’s difficult to summarize. It really depends on the kind of supplies which are concerned. We have – again, H1 has not been impacted at all. We start to see some projects which may be impacted, where we need to prioritize some projects or some of commodities, in particular, for again the electronic chips.
Operator: And we'll take our next question from Gael de-Bray in Deutsche Bank. [Operator Instructions]
Gael de-Bray: Okay. I'll try to stick to just one. Hopefully, I might have a follow-up as well. Let's see. Look, the question I have is on the cash usage of the provisions for risks on the BT legacy contracts you had in H1. How much was that? And within the guidance for positive free cash flow reiterated in H2, what kind of assumptions did you take for the cash usage of those same provisions?
Henri Poupart-Lafarge: Maybe I will leave it to Laurent for this question.
Laurent Martinez: Gael, so the cash impact of the provision usage in H1 has been around €130 million. We are talking, Gael, looking ahead the same level of provision usage for the H2 around about. All of this, again, consistent with our trajectories, where that we have outlined in the Capital Market Day, and all of this backed, as Henri was explaining, on the progress done on the project stabilization of the ex BT portfolio that we are addressing one by one.
Gael de-Bray: Okay. Okay. All right. Understood. And if I may, what could be the different steps or new developments that would make you consider a capital increase?
Henri Poupart-Lafarge: I think at that stage, again, we have – we are totally in line with our trajectory. So as said, Moody has confirmed the – our rating in July. We are – and this is, I think, what we have said. We are committed to investment grade. So we really want to keep this investment grade situation because, as you know, that is extremely important for the business in which we are a long-term project, and the solidity of our balance sheet is absolutely key. So we have no plan today on capital increase. And again, the only thing that we can say that we are committed to this investment grade situation. So if something which would endanger this situation which would trigger some reaction on our side, which would be a plan to recover the situation, which may or not include a capital increase. But today, our trajectory, and this is concerned by Moody’s point, as long as we keep the trajectory, there is absolutely no deal.
Operator: Next question is from Akash Gupta in JPMorgan.
Akash Gupta : Yes. My question is on free cash flow particularly in the second half. If you can elaborate on the building blocks and provide some more clarity in terms of if you have any more -- I would say, any more information on how big the free cash flow positive could be because you are still guiding substantial free cash flow for the year that provides a wide range. And I'm just wondering if you can be more specific in terms of how big the second half free cash flow could be.
Henri Poupart-Lafarge : I think I will leave it to Laurent, but just reminding you that in our business, there is an element of volatility of the free cash flow. And today, you have seen this half were better than what we anticipated. So we need to be cautious in the way we are projecting ourselves. But Laurent, maybe you can give more insight on the building blocks.
Laurent Martinez: Yes. So Akash, so the underlying business trend is acceleration of deliveries which, in turn, is getting, I would say, positive flows in terms of progress payments. So that’s the underlying business trend for H2. The second business trend is obviously the healthy order intake pipeline we are seeing for the second half. And all of that, both production deliveries and order intake will turn to a positive free cash flow for H2 that we do confirm. We have, as I say, some headwinds on the CapEx. We see some acceleration in terms of CapEx for the H2. But all of this is considered into this free cash flow positive for H2. And as Henri said, we don’t provide a precise range due to the usual volatility we have. However, despite the fact that we are at minus €146 million in H1, we do confirm free cash flow positive for H2.
Operator: And we'll move to the next question. It's from Daniela Costa in Goldman Sachs.
Daniela Costa: I'll ask one question, and then maybe if I can also ask a follow-up on your comment just now after that. But to start with, I just wanted to confirm what's the size of exactly the problematic backlog in Bombardier. Now I believe it was €6 billion when you last commented, and you did say you delivered €1.3 billion of nonperforming contracts. So how should we think about one minus the other basically? Or has the scope of problematic backlog changed at all? And then I'll ask a follow-up.
Henri Poupart-Lafarge: Thank you. The backlog itself, I mean the number of problematic projects have remained the same. There have been no new supply projects, no hidden projects or things which we have not seen. So we are really now well in control of the full portfolio. And one thing which is -- I'll take this opportunity to detail that. One thing which has been done during the summer, which is extremely important, I'd say, from July to September, is the actual, I would say, allocation of all the projects in the different territories. So before the Capital Market Day, let's say, we were managing these projects globally at a central level, and we were assessing the risk at central level and so forth. Now all the projects are managed by their own geographies, which, by the way, have embraced the situation of this project. So it's now -- you cannot distinguish what was the ex Alstom project to the ex Bombardier project. They are all managed as any projects locally, of course, with a huge support from the central teams but still managed locally. And therefore, we now have a very, very good grasp on all these projects. So there is no new projects. In terms of backlog, there are some evolution of the backlog. Some of the projects did get some new options which, even though they were positive, had increased the number of the backlog actually of this project. So maybe, Laurent, you can give more insight.
Laurent Martinez: Yes. So Daniela, all in, we are indeed confirming the overall order of magnitude that we’ve been talking about with this option issue that Henri mentioned. What I want to add as well is we see for the H2 the kind of the same amount, order of magnitude of H1 in terms of sales traded at 0%, so around €1.3 billion plus, I would say, a small increase. And what I want to add as well is that we are confirming that this backlog at 0% trading margin will be delivered in the next 2 or 3 years. So the trajectories of, I would say, implementation and execution of this backlog is confirmed.
Operator: And we shall move to our next question. It's from Alasdair Leslie in Societe Generale.
Alasdair Leslie: Yes. I suppose just a sort of follow-up on the H2 free cash flow expectations. I mean, do you kind of expect that to be clearly positive given the better-than-expected performance in H1? I'm just trying to read through your sort of comments. Or does that rephasing that you mentioned between the semesters kind of reshape your view on H2 free cash flow as well? And just on that, maybe you could update us on sensitivity in H2 period and from the level of down payments and customer cash settlements. Do you have more visibility there now?
Henri Poupart-Lafarge: Yes. Again, in a way, we are upgrading our guidance for the full year because we have done better than expected on H1. And still we are maintaining our guidance for the H2. There are 2 main factors. I would say, one is, of course, the down payment; and two is the ramp-up of our production and ability to get some cash from the customers due to the delivery of the projects. Here, we are -- we could -- I mean, the risk factor, of course, is the tension on the supply chain. That's why we are cautious on what could be actually the level of cash-in may depend on some of delays which could be experienced because of the supply chain issues. So -- but we are, nevertheless, today confident that we will mitigate this factor and that we will generate cash flow during the second half. So I don't know, Laurent, if you want to add.
Laurent Martinez: No. Just because you mentioned it, Alasdair, we see as well a healthy flow of down payments in the second half as we had in H1. I just want to confirm that there is no change of pattern whatsoever in terms of the down payments from the customer standpoint. So this is something that we are looking with confidence as well in terms of H2 in terms of inflows.
Operator: And the next question comes from Simon Toennessen in Jefferies.
Simon Toennessen: Yes. Laurent, I've got one more question on cash flow but more for next year. And I know you're not going to give guidance yet more specifically, but looking at consensus expectations, there's certainly the view that free cash flow next year will be below what you're going to do in the second half of this year. So given you know pretty well what you're going to deliver over the next sort of 12 months, can you talk a bit more, as we move into the first half of next year then into the second half, do you expect positive free cash flow also in the first half and second half next year? And do you think it's realistic that free cash flow for the full year '22 should be above what you're going to do in the second half of this year? And I appreciate you're not giving that guidance, but just given the topic is so sensitive, a bit more color around it, I guess, would be very helpful.
Laurent Martinez: Simon, so to be fair, we – it’s a bit early days to answer to these questions. So we’ll come back to you for sure. What I can provide you as colors for next year in terms of, again, the business trends is definitively still a very positive market momentum, and you have seen that into the number of opportunities we have in our pipeline. So 400 opportunities above €100 million each in the next 3 years, so this is a clear sign of the market health. The second business trend for next year is to continue to ramp up in terms of rolling to stock and deliveries but as well positive trajectories in terms of Signalling, System and Services which will fuel the growth for next years. But that’s what we can say at this stage in terms of cash. H1, H2 for next year, it’s a bit early days to answer to you on this question. Overall, we do confirm cash positive on the midterm as indicated in our Capital Market Day.
Operator: And our next question is from Jonathan Mounsey in Exane BNP Paribas.
Jonathan Mounsey: Sorry. I was on mute. Apologies. So just talking specifically about some of the problem contracts that I know we've talked about in the past, so I'm thinking SBB and Aventra in particular. I think the local press in Switzerland is talking about the trains that you've delivered to Bombardier running better than before. So reliability is improving, but also that the motion of them makes people feel ill. Where are we on that contract? Does that imply significant work needs to be done to resolve those issues? Or are we finally coming to the end on that project given that the trains are now running more reliably? And on the U.K.'s Aventra, obviously, we've got multiple contracts there with Bombardier to deliver. Where are we today on that, please?
Henri Poupart-Lafarge: Thank you. So first of all, usually, I really refrain from talking about particular projects because as we have more than 300 projects, it could be a longer story. But on these ones that you are highlighting and just a few comments, first, on SBB contract. As you said, these are -- these have improved tremendously. I think to give you order of magnitude, over the last 8 months, so since we have taken over, the reliability has probably doubled in terms of our main indicators, which is the miles between different failures incidents. So we have twice now the level of reliability. So this is a huge improvement. The production has been stabilized. So all the trains have been produced according to the plan, which has been set when we again took over beginning of February. And most of the trains are now delivered. I mean, I think 52 out of the 62 trains have been delivered for SBB. We have still some technical issues to solve, and we have still also commercial issues to be discussed with SBB, so this is not the end of the story for us. But in terms of -- this is one project for which we are moving now. As I said, they are not one silver bullet. On this project, the manufacturing part is behind us for most of it. It's more some technical part and some discussion with the customer. But this is going in -- definitively in the right direction, and I expect most of it to be done before the end of the financial year. We have also improved. I mean, I see that you have a very, very, very close knowledge about what's happening. So we have also improved a lot the comfort and the impression that we were mentioning in terms of maybe dizziness or I don't know how you can call it. But we have improved a lot this situation, which is a particular lifting situation of this train. On Aventra, this is definitively a very different story. First, we have more projects with multiple operators, multiple owners. So we have not yet settled with all of them but with the majority of them, basically 3/4 of them, to say it like that. And the production is now a long production. We have several years of production. We have concentrated during the first 6 months in retrofitting the trains because one of the issues, as you know, was that we had a lot of trains to be retrofitted, and we were actually piling up 90% back to train, if I may say. So we have concentrated in that.  And we are resuming the production of new trains. I have been myself to Derby. I can tell you that there have been immense progress in terms of quality which have been outlined by the customers themselves. And the number of demerits and so forth have dropped tremendously. So that’s going in the right direction. I would say that on this one, we have a few technical challenges, but the main challenges here is on the ramp-up of the production. So you see it illustrates – I don’t want to go into all the projects, but it illustrates the fact that it’s not one single issue. And there is no – as well no issues which are unsolvable, but it’s just multiple issues which have to be tackled one by one.
Operator: Next question is from Martin Wilkie in Citi.
Martin Wilkie: It's Martin from Citi. Just coming back to raw material inflation components and so forth. You mentioned that you have these sort of indexation clauses and so forth that look like they protected you from raw materials. But just to clarify, if there are component shortages that would cause a train to be uncompletable or if there's a component that simply wasn't available, how does that work with the customer? I mean, presumably, you are able to pass through raw materials and so forth. But if there are delays, and we're hearing that in many, many industries that projects are being delayed because of seemingly low value components simply not being available, is that something you are protected against? Or is that a potential risk of some of these global bottlenecks continue into next year?
Henri Poupart-Lafarge: No, that’s a very good point. And there are 2 consequences of that. If some projects were to be delayed because of shortages, first of all, of course, that would be automatic. I mean, we will have a shortage in cash-in because we’ll not be in a position to deliver our trains. That’s clear. In terms of commercial negotiation and eventual penalties or discussions, this would be much more complex. That’s – of course, this is a post-COVID impact, so we need to analyze that on a global COVID situation. But still, it will trigger a number of discussions at that stage. So we have not faced this issue so far, but it’s clear that it’s not as automated – automatic, sorry, for the price itself. We don’t have – we have escalation clauses for the price and the cost. We have no such thing for the shortages of components. So that will have to be discussed on a case-by-case basis. That’s why we are, frankly, doing everything so that it does not happen.
Operator: And the next question is from Vlad Sergievskii, Bank of America.
Vlad Sergievskii : Yes. It will be on project execution and will consist of 2 parts. First of all, it looks like you provisioned about €200 million for potentially problem projects during this period. And provisions exceeded what you used in terms of provisions. Does it mean that the risk of the backlog has increased during this period? And second part of this question would be on the big or relatively sizable, I should say, upward-moving contract assets. So it's about €650 million. Can you please explain what drove it? And how do you expect this line to develop going forward?
Henri Poupart-Lafarge: Thank you for your question. Maybe, Laurent, I'll leave it to you.
Laurent Martinez: Yes. So overall, as I say, no overall impact on the overall risk assessment on the ex BT contracts provision, as I say. There is a specific point in the provision movements indeed which is linked to option which has been booked, which is having a mechanical impact on the provision. But economically, this provision are accretive in terms of margin. So overall, very much 100% in line with what we say end of March in terms of risk and contract assessment on the ex BT portfolio.
Henri Poupart-Lafarge: Thank you. Maybe one of the last questions as we are coming to the end of the session.
Operator: It is from Katie Self in Morgan Stanley.
Katie Self: My line cut out briefly, so apologies if this has already been asked. But just trying to understand on the down payment situation for the remainder of the year. If you could just give us a bit of an overview of the order pipeline for the second half. Are there a number of large contracts to come with related down payments that are sort of inherently baked into the guidance? Or are you looking more around a kind of stable level of mid- and small-sized contracts?
Henri Poupart-Lafarge: Yes. In the main, we still have a number of large contracts. We don’t have gigantic contracts like multibillion or €3 billion, €4 billion or something like that. But still, I mean, if you talk about the contract in Egypt, for example, it’s close to €1 billion. So we have several of these during the second half, which is becoming recurring. I mean, if now – again, if you – for having close to €10 billion of order intake in 6 months, you need to have a number of relatively large contracts. And as we expect to have also a healthy level of order intake during the second half with – that means that we expect some of these contracts with also relatively good down payments. So it’s not dissimilar from the first half. Okay. Maybe we have the last question from James Moore, if my table is correct.
Operator: Yes, James Moore from Redburn.
James Moore: Can you hear me?
Operator: Yes, we can.
James Moore : Great. I'm afraid I got cut off earlier, so I apologize if I'm repeating. I have 3, if I can. Can you say what percentage of customer settlement negotiations are now complete at the end of the half? And can you give us a feeling for the outstanding phasing and, secondly, of the €4.7 billion of backlog revenue? I'm just trying to think how much will be invoiced in the second half versus '23 versus '24. And finally, could you just re-explain the €199 million contract provision increase? I'm not sure I understood the answer. And did it carry through the adjusted EBIT line or not?
Henri Poupart-Lafarge : Thank you. I will leave it, the last one, to Laurent. It's clear that it's an accounting and a relatively complex one, so I'll leave it to Laurent. On the first one, I would say that we have -- today, the majority, so a little bit more than 50% of the commercial negotiations, we expect to finalize them by end of March, basically. So during the first half, we did a little bit more than 50%, which is already quite an achievement because we could not start day 1 and we need some time to start. But we still have a number of them to be discussed, clearly. On the phasing, we expect to ramp up the production, and therefore, and back to what I was saying on Aventra, for example, we expect the level of nonperforming projects to be traded during the second half to actually be higher than during the first half. So we should -- and then it will be stable probably next year as compared to this year, as said, as compared to the second half. So we'll have a second half which is slightly higher than the first half and then relatively stable situation during the next year. And then, of course, it will ramp down. So -- but maybe on the accounting part, Laurent?
Laurent Martinez: Yes. So James, so in terms of economics, this €199 million is reflecting options which are being booked on negative contracts. These options are positive in terms of margin. However, accounting-wise IFRS 15, you have a catch-up in terms of the percentage of completion of the contract and, hence, the mechanical provision increase. So it's pure accounting issues, not at all an economic issues, which is reflected into this around €200 million provision increase. So I will suggest -- I know it's triggering some questions. I would suggest that Martin takes this question and go with you with the accounting entries on that.
Henri Poupart-Lafarge: Okay. Thank you, James. I think it’s ending our session of this morning. So thank you a lot for your attention. Happy to talk to you soon. And again, as a word of conclusion, I mean, as you have seen, the group is working extremely intensively. So there are a lot of actions currently going on. And I would say that with a lot of achievements and a lot of successes, I think there is a very nice momentum within the group. And I’m fully confident that we’ll manage to stick to our trajectory going forward. So thanks a lot, and talk to you soon. Bye-bye.
Operator: Thank you. This conference is now over. Thank you for your participation.